Operator: Good afternoon. Thank you for standing by. Welcome to the TTM Technologies, Inc. First Quarter 2025 Financial Results Conference call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. [Operator Instructions]. As a reminder, this conference is being recorded today, April 30, 2025. Sameer Desai, TTM's Vice President of Corporate Development and Investor Relations, will now review TTM's disclosure statement. Mr. Desai?
Sameer Desai: Thank you, Sri. Before we get started, I would like to remind everyone that today's call contains forward-looking statements, including statements related to TTM's future business outlook. Actual results could differ materially from these forward-looking statements due to one or more risks and uncertainties, including the risk factors we provide in our filings with the Securities and Exchange Commission, which we encourage you to review. These forward-looking statements represent management's expectations and assumptions based on currently available information. TTM does not undertake any obligation to publicly update or revise any of these forward-looking statements, whether as a result of new information, future events, or other circumstances except as required by law. We will also discuss on this call certain non-GAAP financial measures such as adjusted EBITDA. Such measures should not be considered as a substitute for the measures prepared and presented in accordance with GAAP, and we direct you to the reconciliations between GAAP and non-GAAP measures included in the company's earnings release, which is available on the Investor Relations section of TTM's website at investors.ttm.com. We have also posted on that website a slide deck that we will refer to during our call. I will now turn the call over to Tom Edman, TTM's chief executive officer. Please go ahead, Tom.
Tom Edman : Thank you, Sameer. Good afternoon, and thank you for joining us for our first quarter 2025 conference call. I'll begin with a review of our business highlights from the quarter and a discussion of our first quarter results, followed by a summary of the current geopolitical environment and impact to TTM. Dan Boehle, our CFO, will follow with an overview of our Q1 2025 financial performance and our Q2 2025 guidance. We will then open the call to your questions. Highlights of the quarter's financial results are summarized on slide 3 of the earnings presentation posted on TTM's website. We delivered a strong first quarter of 2025, and I would like to thank our employees for their hard work and contributions in support of these results. In the first quarter of 2025, TTM achieved revenue and non-GAAP EPS above the high end of the guided range. Revenue grew 14% year-on-year, representing better than seasonal trends due to demand strength from our aerospace and defense, data center computing, networking, and medical, industrial, and instrumentation end markets, partially offset by a slight decline in the automotive end market. Overall, the company book-to-bill ratio was 1.10. Demand in our aerospace and defense market, which was 47% of revenues for the quarter, remains strong, and we continue to have a solid program backlog of approximately $1.55 billion. Finally, the company's non-GAAP operating margins of 10.5% were up 340 basis points year-on-year as we recorded the third consecutive quarter of double digit operating margin performance, reflecting continued solid execution. Both non-GAAP operating margin and non-GAAP EPS were at a record high for a first quarter and performed much better than normal seasonal trends. The strong first quarter results demonstrated the company's strategy of reducing seasonality in operating performance. Let me now turn to the new policies being implemented by the current administration, the potential impact of TTM, and how we are positioned to withstand the challenges we might face this year. We have significantly reshaped the company over the last 10 years through diversification of end markets, as well as our manufacturing footprint, divesting consumer and lower margin facilities in China, and investing in new production capabilities in other regions, such as Malaysia. We currently have no direct consumer exposure, and the aerospace and defense market is close to 50% of revenues. When thinking about tariffs, we categorize the potential impact in three ways, direct impact to revenue, direct impact in materials and equipment, and indirect impacts, such as overall end demand weakness and economic slowdown. First, we do not expect significant direct impact to revenue, as only 3% to 4% of our revenues represent direct imports from China into the U.S. by our customers. For this revenue, the customer is responsible for paying the tariffs, and in most cases, they can find alternative contract manufacturers outside of the U.S. to do their necessary assembly work. We also are working with these customers to offer alternative TTM PCB manufacturing locations to help mitigate the impact, if that is their preference. So far, we have not seen significant changes in customer behavior. In terms of our raw materials and equipment, TTM is responsible for paying tariffs on imports into the U.S., and although we generally source within country or region, we do have some greater exposure here. We import very little from China into the U.S. and from the U.S. into China, but we or our vendors import materials worth approximately 11% of revenues into the U.S. from Europe and the rest of Asia. In regards to equipment, approximately 23% of our global capital spending in 2024 was equipment imported into the U.S. from Europe and Asia, with very little from China. In 2025, we expect equipment imported into the U.S. from Europe and Asia to be approximately 29% of our global capital spending due to equipment purchases for our new manufacturing facility in Syracuse. In addition, very little equipment from the U.S. is exported into our facilities in China. Our goal is to mitigate the impact of tariffs on materials and equipment purchases through delivery timing, sourcing location, and the adjustment of pricing models. We are also engaged with the government in regards to the portion of our equipment investment, which is tied to Department of Defense-related funding. So as a reminder, the minor direct impact of tariffs is a result of our diverse manufacturing footprint, with a presence in North America, China, and Malaysia, and we plan to employ mitigation strategies to minimize its effects. Finally, the indirect impact, i.e., end market potential demand weakness due to higher prices in specific markets or an overall economic slowdown, is more difficult for us to predict. To-date, we have not seen a significant shift in customer behavior due to tariffs, but we will continue to monitor this closely. Every year, we model downside and upside scenarios to our budget, and the key is to be vigilant, flexible, and poised to adjust to a potentially dynamic demand environment. An encouraging indicator is the number of announcements coming from companies in our commercial markets regarding planned investments in more manufacturing in the United States, which could be a positive for TTM longer term due to our strong U.S. footprint. Of note is the Stargate project to bring the supply chain of generative AI to the U.S. In addition, Nvidia, Apple, and Meta have all made public announcements regarding their plans to invest in the U.S. That brings me to another focus of this administration, which is the Department of Government Efficiency, or DoGE, and its impact to our business. The initial impact of DoGE has been largely felt outside of the Department of Defense. Within the DoD, the focus has been on consulting contracts rather than reductions in defense programs. In regards to the defense budget, fiscal year '25 has started with a continuing resolution as Congress works to develop a reconciliation package. Discussions to date show a continued increase in defense spending in the $150 billion range. In addition, the President has indicated that the 2026 budget request will be in the trillion dollar range, indicating further increases in defense spending. There have also been actions from the government to support the domestic defense industry, particularly around missile defense. The Missile Defense Agency currently has an RFI out for the Golden Dome for America project, seeking information and market analysis concerning the strengthening of the country's missile defense system. Note that roughly half of TTM's aerospace and defense business is tied to radar systems, which would benefit from more missile defense spending. Outside the U.S., various NATO countries are looking to increase defense spending, which would potentially benefit U.S. defense contractors in the near term. Next, I will provide an update of our new facilities in Penang and Syracuse. We continue to make progress with customer qualifications in Penang, with increasing revenues in the first quarter and a book to bill well above one. We expect the revenue ramp to accelerate and reach breakeven levels towards the end of the third quarter. In terms of the new facility in Syracuse, external construction is largely complete, and we continue to make progress on the internal fabrication. We have placed orders for equipment and pending uninterrupted delivery, expect installation to begin in the summer, with production slated for the middle of 2026. Lastly, I would like to highlight that we published our second corporate sustainability report, or CSR, on April 22, Earth Day, which reflects our clear commitment to minimize the impact of our facilities on the environment. Now I'd like to review our end markets, which are referenced on page 4 of the earnings presentation on our website. The aerospace and defense end market represented 47% of total first quarter sales, compared to 46% of Q1 2024 sales and 47% of sales in Q4 2024. Revenues grew 15% year-on-year. The solid demand in the defense market is a result of a positive tailwind in defense budgets, our strong strategic program alignment, and key bookings for ongoing franchise programs. We maintain a solid A&D program backlog of approximately $1.55 billion at the end of the first quarter, compared to $1.38 billion in the year-ago quarter. During the quarter, we saw significant bookings for the Javelin and LTAMs-related programs. We expect sales in Q2 from this end market to represent about 45% of total sales. Bookings in the aerospace and defense market ship over a longer period of time than in our commercial markets and provide good visibility into the future revenue growth. Sales in the data center computing end market represented 21% of total sales in the first quarter, compared to 21% in Q1 of 2024 and 22% in the fourth quarter of 2024. This end market saw 15% year-on-year growth, which was better than expected due to continued strength from our data center customers building products for generative AI applications. We expect sequential growth and revenues in this end market to represent 21% of second quarter sales. The medical industrial instrumentation end market contributed 13% of our total sales in the first quarter, compared to 14% in the year-ago quarter and 13% in the fourth quarter of 2024. This end market saw a return to year-on-year growth of 5%, as inventories have normalized in the industrial area, and we saw increased demand from our semiconductor testing customers, as generative AI drove increased purchases of automated test equipment. For the second quarter, we expect the medical industrial instrumentation end market to be 15% of revenues. Automotive sales represented 11% of total sales during the first quarter of 2025, compared to 13% in the year-ago quarter and 11% during the fourth quarter of 2024. The year-over-year decline for automotive was due primarily to continued inventory adjustments and soft demand at several customers. We expect our automotive business to contribute 11% of total sales in Q2. Networking accounted for 8% of revenue during the first quarter of 2025. This compares to 6% of revenue in the year-ago quarter and 7% during the fourth quarter of 2024. Year-on-year growth was 53%, the strongest in many quarters, due to increased switch-related demand from certain networking customers. In Q2, we expect this end market to be 8% of revenues, as this market continues to show strong growth driven by AI-related demand and new products. Next, I'll cover some details from the first quarter. This information is also available on Page 5 of our earnings presentation. During the quarter, our advanced technology and engineered products, which include HCI, rigid flex, RF subsystems and components, and engineered systems, accounted for approximately 44% of our revenue. This compares to approximately 48% in the year-ago quarter and 50% in Q4. We are continuing to pursue new business opportunities and increased customer design engagement activities that will leverage our advanced technology and engineered products capabilities in new programs and new markets. PCB capacity utilization in Asia-Pacific was 58% in Q1, compared to 52% in the year-ago quarter and 59% in Q4. On a year-on-year basis, utilization rates improved as data center demand continues to be strong and the networking market rebounded. Our overall PCB capacity utilization in North America was 35% in Q1, compared to 38% in the year-ago quarter and 34% in Q4. As a reminder, North America utilization figures are not as meaningful as Asia-Pacific because bottlenecks in these high-mix, low-volume facilities tend to occur in areas outside of plating, which is the core process that we use for calculating utilization rates. Our top five customers contributed 45% of total sales in the first quarter of 2025, compared to 42% in the first quarter of 2024. We had one customer with over 10% of our total sales in the quarter. At the end of Q1, our 90-day backlog, which is subject to cancellations was $517.5 million, compared to $459.5 million in the first quarter of last year. This quarter, we started to report total company backlog, excluding shipments into the hubs, to provide a more accurate measure of backlog, and we have restated last year's number as a result. As I mentioned earlier, our Aerospace and Defense Program backlog was $1.55 billion at the end of Q1 this year, compared to $1.38 billion at the end of the first quarter of last year. Our overall book-to-bill ratio was 1.10 for the three months ending March 31. Now Dan will review our financial performance for the first quarter. Dan?
Daniel Boehle: Thanks, Tom, and good afternoon, everyone. Highlights of our first quarter financial results were included in the press release distributed today and are summarized on slide 6 of the earnings presentation posted on our website. For the first quarter, net sales were $648.7 million, compared to $570.1 million in the first quarter of 2024. The 14% year-over-year increase was due to growth in our aerospace and defense, data center computing, networking, and medical, industrial, and instrumentation end markets, partially offset by declines in our automotive end market. GAAP operating income for the first quarter of 2025 was $50.3 million, compared to gap operating income for the first quarter of 2024 of $17.1 million. On a GAAP basis, net income in the first quarter of 2025 was $32.2 million, or $0.31 per diluted share. This compares to gap net income for the first quarter of 2024 of $10.5 million, or $0.10 per diluted share. The remainder of my comments will focus on our non-GAAP financial performance. Our non-GAAP performance excludes M&A-related costs, restructuring costs, certain non-cash expense items, such as amortization of intangibles, impairment of goodwill, stock compensation, gains on the sale of property, unrealized gains or losses on foreign exchange, and other unusual or infrequent items. We present non-GAAP financial information to enable investors to see the company through the eyes of management and to facilitate comparisons with expectations and prior periods. Gross margin in the first quarter was 20.8% and compares to 18.8% in the first quarter of 2024. The year-on-year increase was due to higher sales volume, particularly in the aerospace and defense, data center computing, and networking end markets, and improved operational execution. Selling and marketing expense was $20.3 million in the first quarter, or 3.1% of net sales, versus $19.4 million, or 3.4% of net sales a year ago. First quarter G&A expense was $38.9 million and 6% of net sales, compared to $40 million, or 7% of net sales in the same quarter a year ago. In the first quarter of 2025, research and development was $7.8 million, or 1.2% of net sales, compared with $7 million, or 1.2% of net sales in the same quarter last year. Our operating margin in the first quarter of 2025 was 10.5%, a 340 basis points increase from 7.1% in the same quarter last year, due to the increase in gross margins and the steady level of selling general and administrative costs. Interest expense was $10.9 million in the first quarter of 2025, compared to $11.8 million in the same quarter last year. During the first quarter of 2025, there was a $0.9 million realized foreign exchange gain below the operating income line, compared to a $0.1 million realized foreign exchange gain in the first quarter of 2024. Government incentives and interest income, totaling $3.5 million, resulted in a net $4.4 million gain, or a $0.04 positive impact EPS in the current quarter. This compares to a net gain in the $5 million, or a $0.04 positive impact on EPS in the same quarter of last year. Our effective tax rate was 15% in the first quarter, resulting in tax expense of $9.3 million. This compares to a rate of 14%, or a tax expense of $4.7 million in the same quarter last year. First quarter 2025 net income was $52.4 million, or $0.50 per diluted share. This compares to first quarter 2024 net income of $29.1 million, or $0.28 per diluted share. Adjusted EBITDA for the first quarter of 2025 was $99.5 million, or 15.3% of net sales, compared with first quarter 2024 adjusted EBITDA of $70.5 million, or 12.4% of net sales. Prior year results have been revised to exclude the impact of unrealized gains or losses on foreign exchange from non-GAAP net income, non-GAAP EPS, and adjusted EBITDA. Please refer to the revised historical non-GAAP financial information in the Form 8K filed on February 5, 2025, for further information. Depreciation for the quarter was $26.9 million. Net capital spending for the quarter was $63.2 million, as we made a final payment related to the Malaysia facility, while also ramping expenditures on our new facility in Syracuse, New York, as Tom mentioned earlier. Cash flow from operations in the first quarter of 2025 was a net cash usage of $10.7 million, primarily due to timing of receivables, as we had a strong fourth quarter last year, and some of our OEM customers changed to EMS companies with longer payment terms in this quarter. Our operating cash flows generally trend upward throughout the year, so we expect to recover this cash from fall through on increased revenue and focused management of networking capital. We bought back 700,000 shares of stock in the quarter for $17.9 million. Cash and cash equivalents at the end of the first quarter of 2025 totaled $411.3 million. Our net debt divided by last 12 months, EBITDA, was $1.3 million. Now we will turn to our guidance for the second quarter of 2025. We project net sales for the second quarter of 2025 to be in the range of $650 million to $690 million, and non-GAAP earnings to be in the range of $0.49 to $0.55 per diluted share, which is inclusive of operating costs associated with starting up our Penang facility. The EPS forecast is based on a diluted share count of approximately 104 million shares, which includes the dilutive effect of outstanding stock options and other stock awards. We expect SG&A expense to be about 8.9% of net sales in the second quarter, and R&D to be about 1.2% of net sales. We expect interest expense of approximately $11.4 million and interest income of approximately $3 million. We estimate our effective tax rate will be between 13% and 17%. Further, we expect to record depreciation of approximately $28.1 million, amortization of intangibles of approximately $9.2 million, stock-based compensation expense of approximately $8.5 million, and non-cash interest expense of approximately $0.5 million. Finally, I'd like to announce that we will be participating in the Barclays Leveraged Finance Conference in Austin, Texas, on May 20, the B. Riley Investor Conference in Los Angeles, California, on May 21, and the Stiefel Cross Sector Invite Conference in Boston, Massachusetts, on June 3. That concludes our prepared remarks. Now we'd like to open the line for questions. Operator?
Operator: Thank you. [Operator Instructions]. And our first question will come from the line of William Stein with Truist Securities. Your line is open.
William Stein: Great. Thanks for taking my questions. I should say congrats on these pretty great results and outlook. I would like to ask about Penang. Tom, perhaps you can remind us, or just fill in some blanks, revenue at that facility during Q1, margins in the quarter, or the margin drag that we're seeing at that facility, to the overall results and the anticipated trajectory of revenue and margins over the next couple of quarters?
Tom Edman: Okay. So sure thing, Will. Let me just give you a feel for that. Number one, and thank you, by the way. I appreciate the kind words. In terms of Penang first quarter performance, we were at about $2.2 million in revenue. So that's the initial commercial volume of revenue. Obviously, as we build revenue, we're adding indirect labor, so not a huge impact in terms of operating income loss, which was approximately $11.5 or so million. As we ramp going forward, we're looking at steadily improving that situation. Certainly, at this point, with a strong book-to-build in Q1, that's a real positive looking into Q2 and into Q3. By the end of Q3, we are still hoping to be at a break-even point. So that's a steep ramp, obviously. We're looking at breakeven is somewhere between $30 million and $35 million in terms of revenue. So looking to continue a rapid ramp of the facility here. And as you can expect, it's like any ramp. It's good to see volume production getting pushed out and yielding volume production. That's the positive. And then every day, of course, we run into those challenges that come with you as you start to turn up the speeds on equipment and processing speed. So doing a lot of learning in the meantime, but steadily ramping.
Operator: Thank you. I believe William Stein dropped. Let me go ahead and bring him back. Mr. Stein, your line is open.
William Stein: Great. Thanks. Guys, I missed most of that, but I'll get it from the transcript. I did want to ask something else about the aerospace defense business. You did very well there in the quarter. But we did see program backlog decline slightly sequentially. And I think it hasn't done that in a while. And I'm hoping you can explain that. Is that a matter of just getting perhaps a bit better availability on components and labor, such that you're able to work down backlog a little bit, or any other way we can understand this from a sort of longer-term context? I'd appreciate it. Thank you.
Tom Edman: Sure, Will. Yes, so book-to-bill in defense was 0.96. And so darn close to one to one. We did that program backlog number came down 100K, I guess that would be. It came down to, sorry, came down from 1.56 billion to 1.55 billion. So a pretty small decrease. The real point there being we actually expected Q4 was, if you remember, a terrific bookings quarter for us. And we expected Q1 to come down further. We were actually positively surprised by the bookings level and the bookings that were brought forward into Q1 from Q2. We're expecting to see similar behaviors in Q2. So I would not say that I think bookings continue to be strong, particularly for the beginning of the year, which is usually where you find bookings slow down a little bit. So I think we're in great shape there. I would say, Will, I'm very proud of how our defense operations, both in integrated electronics, non-PCB, as well as on the PCB side, how well the facilities operated. Frankly, usually we find coming off of Q4 that we get a little bit of dip in production output. This year, the operations team did an outstanding job coming into Q1 off of a very strong Q4, continuing to operate well, continuing to do well throughout the quarter. So, yes, we were able to bring past dues down a bit, which is critical for us. We need to execute on behalf of our customers. Glad to see that come down a little bit. Glad to see the bookings strength maintained. And really, really pleased with where we are right now in the defense end market. Thank you.
William Stein: Thank you.
Operator: Thank you. One moment for our next question. And that will come from the line of Jim Ricchiuti with Needham & Co. Your line is open.
Jim Ricchiuti: Good afternoon. I just wanted to follow up on Will's question about Penang. Tom, I think you talked about in your overview multiple customer qualifications. Can you give us a sense as to how customers you're qualified with at the facility and in which market verticals?
Tom Edman: Boy, so we have four anchor customers there. We've been qualifying, of course, actively with those four. But beyond that, you can add, we're in qualification with just, let's say, approximately 10 customers overall. That number continues to increase, Jim. The pace of qualification varies according to customer. We have worked through the bulk of qualifications with the anchor customers. There's still some work to do there. But we've continued that steady pace of qualifications. And of course, that will be an ongoing process because customers always qualify for new programs as well. We haven't reached that steady state. I think there's still customers where we need to wrap up the initial qualifications. But we are making good progress there. So good momentum in terms of qualifications and also the additional customers that we're bringing. And you can imagine, of course, the tariff situation out there adds a bit of further momentum in terms of customer interest.
Jim Ricchiuti: Is it skewed to any one market?
Tom Edman: Oh, yes, thank you. Thank you. Sorry, missed answering that part. So always has been, from a volume standpoint, a little bit skewed towards data center and networking customers. And then we also have medical industrial instrumentation in there as well. So if you look at number of customers, the MII area is higher. But in terms of revenue contribution, data center and networking are where the concentration is.
Jim Ricchiuti: Got it. And just as a follow up, so at least thus far, you're not seeing much of a change in customer behavior from the administration policies. I was wondering, though, which verticals outside of A&E, Tom, do you have the strongest line of sight looking beyond Q2?
Tom Edman: Yes, thank you. So yes, I was thinking through this. I think another way to think about it is, so it's visibility, both short term and also in terms of sensitivity to tariffs. And if you start to go through our end markets, of course, always in the news, probably number one in terms of potential tariff impact is automotive. I've been encouraged to see some movement there around not just automotive sales, but also tier one parts coming into the U.S. Good to see the administration recognize the importance of that industry. And so we'll see where that goes. But certainly that's an area that is more sensitive than the others to tariffs. Second would be the MII area, medical, clearly influenced by China and impacted by China, because that is an important market for medical equipment. And so watching that area, industrial to the extent that we run into any kinds of economic issues, because industrial, highly tied to investments, capital investments out there. So could be positively influenced by capital investments in the U.S., but negatively impacted if the economy is impacted by this. And then instrumentation, most closely tied to the semiconductor capital equipment market. And there, of course, the export controls, we'll see what kind of impact that has here on the industry. So I would put MII as a second area just to watch. And again, I would say short term, we have not seen an impact there. In fact, we came off a strong quarter and expecting another strong quarter in Q2. And then finally, data center and networking, you really have to put them together, both heavily impacted by investment in generative AI and data center investments. We highlighted on the script that we are expecting investment, positive investment momentum in the U.S. I think this is an area of ongoing strength here. And then A&D, as you mentioned, Jim, certainly not impacted by tariffs, certainly not on the demand side. So as you think about TTM and you think about how that adds up, A&D and data center collectively, you're looking at over 70% closing in on 80% of our revenue, depending on the quarter. And then you've got that piece, the MII piece coming in at anywhere from 10 to 15, and then the balance in auto. So I think we're in good, strong shape here as we look into the potential impact of tariffs and the balance of the year.
Jim Ricchiuti: Got it. That's great color. Thank you. Congratulations.
Tom Edman: Thank you, Jim.
Operator: Thank you. One moment for our next question. And that will come from the line of Ruben Roy with Stifel. Your line is open.
Ruben Roy: Thank you. And Tom, thanks very much for the detail around how you're thinking about the tariff environment. I guess the first question I'd have is understanding that you talked about not really seeing any meaningful changes in behavior from customers. But I guess when you look at the data center business doing a bit better and networking continue to have momentum, any signs at this point that there's some pull-in activity going on ahead of sort of more clarity into how the tariff environment pans out for the second half of the year?
Tom Edman: I don't see that in the data center or the networking area, to be frank. I think both areas are acting really much more. So I would never say predictable because certainly when it comes to data center, there are programs that ramp and programs that fall off. But I haven't seen momentum that I would call unusual in regards to programs. So I haven't seen it there. I think it's harder to tell with medical industrial instrumentation because certainly our North America bookings in that area have been strong. That could be because customers are thinking about tariff impacts. I wouldn't say that we have seen a lot of change in behavior in terms of orders coming out of China. Much of the assembly in MII actually takes place with contract manufacturers outside of the U.S. And so I think, again, customers look at this. I don't think there's a major reason for a shift in behavior there. And frankly, as I mentioned in the script, we haven't even seen customers move CMs. Even where they have CMs doing assembly in the U.S., we haven't seen a big shift there. So right now it seems like a fairly steady state from what we're seeing.
Ruben Roy: Yes, that's really helpful. On that point around shifts on CMs, that's interesting. And I guess you hinted at this when you answered Jim's question on today in terms of potentially getting some further momentum. And I guess the question would be around the competitive dynamics with a lot of your competitors on the PCB side, certainly based in Asia. It seems to me like there might be an opportunity for you there. And wondering if those types of conversations have started yet with your customers, or is it too early for that at this point?
Tom Edman: A lot of conversation, absolutely. And I would say beyond Penang, as it impacts our commercial facilities in Toronto, and in Logan, Utah, and San Jose. So we're doing a lot of, certainly there are exercises that occur that we're doing with customers and trying to help them look ahead. I think, again, not a short-term impact. There's certainly longer-term modeling. The Penang facility better set up to handle future volume needs. We're just trying to also ensure that the product type fits into what we can do most efficiently in Penang, which tends to be higher layer count production of boards. So yes, there's quite a bit of modeling going on and ensuring that we're really hitting that sweet spot in terms of production capability. And I would just remind you also, Ruben, that our competition doesn't sit still. And certainly they're building facilities, particularly in Thailand, to compete. So we do, I think, have a bit of a first mover advantage here in Penang. But we're never, our customers or our competitors are always quick to act. And certainly, our customers are going to have other options here in Southeast Asia. We just are determined to make Penang the best choice.
Ruben Roy: Understood. Thank you, Tom.
Tom Edman: Thank you.
Operator: Thank you. [Operator Instructions]. And our next question will come from the line of Mike Crawford with B. Riley Securities. Your line is open.
Mike Crawford: Thank you. Just back to the direct revenue impact of tariff, you mentioned only 3% to 4% of your direct imports to the U.S. from your customers. But do you have any sense of what% of what you ship elsewhere, like to Foxconn in Taiwan from China, would then eventually would come into the U.S. and potentially be subject to tariffs?
Tom Edman: That is a great question, Mike. I do not have a sense for that. Because if you take most of these products that are being built by the CMs, they're going to go to multiple destinations. And so it's really hard for us to gauge where those shipments are going to go. To the extent that a shipment goes into Mexico, you can usually count on the fact that it's going to go, the end product will end up in the U.S. But that's a small portion of what we're shipping. So much harder to gauge when a shipment goes into Southeast Asia, say. So wish I had the answer, but I really don't to that question.
Mike Crawford: Okay, well, I have another maybe potentially hard one. But just in general, do you have a sense of what your PCB manufacturing capacity share is globally outside of China or in the U.S. or maybe after Syracuse ramps? What that answer might be? And if that's different, if you're talking about advanced high layer count boards?
Tom Edman: Okay, so if you look at probably the easiest gauge I can give you in terms of North America production, we continue to be the largest by a factor in terms of PCB production. And with Syracuse coming on in terms of advanced technology, printed circuit board production, will really be the only company with scaled capability to produce advanced printed circuit boards. So that one's easier to answer. In terms of outside of China capacity, right now, certainly, again, we are close to the largest there. I haven't seen any real industry studies that give me a good compare on that. As you know, globally, we're about number five on the list of global production capability. And most of those companies that compete with us are in China, or that's where they have the bulk of their production capacity. So I think, again, what I like about the TTM footprint, have always liked about it, is our strength in North America, inclusive of Canada, as well as the U.S. And now we've added a critical cog here with Penang coming on. So really, really pleased with our footprint situation.
Mike Crawford: Okay, thank you. And then one final question for me is, there's this $150 billion reconciliation bill that came out of the House and Senate Armed Services Committees. And on Pages 10 and 11, there's a lot of specific programs for specifically pushing up integrated air and missile defense. Is there anything that stands out there or otherwise in that bill that you're looking at that could lend upside to the percent of revenue that you're looking at for aerospace and defense?
Tom Edman: Well, I think we highlighted, when you're looking at programs that tie to air missile defense, radar systems, that those are programs that are right in our wheelhouse and allow us to have additional, content opportunity beyond the board. So from that standpoint, very, very pleased that, with where that reconciliation bill may be going. And so that should be positive. Again, the details of that are being worked out. So I think it's the right area. We certainly, we highlighted Golden Dome, I think that's a, again, a strong area, if you look at the programs that are tied to that, to the to the general plan there. Those are -- those are opportunities and opportunities where we already have content in most cases. So certainly, that the direction is a good one. As you know, we don't, we generally will not see the actual business for, , approximately 18 months to 24 months after a budget is agreed upon. But this is definitely a good direction, as is, certainly the administration comments on a potential 2026 budget of over a trillion dollars.
Mike Crawford: Great. Well, thank you very much.
Tom Edman: Great. Thank you. Appreciate it.
Operator: Thank you. I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Mr. Tom Edman for any closing remarks.
Tom Edman: Thank you, Sri. I would like to just close by summarizing some of the points we made earlier. First, we delivered strong revenue growth in Q1, up 14% year-on-year, driven by aerospace and defense data center computing and networking markets. Second, our non-GAAP operating margin of 10.5% was up 340 basis points year-on-year, and was the third consecutive quarter of double digit margin for TTM. And third, we achieved record high non-GAAP operating margin and non-GAAP EPS for first quarter, better than normal seasonal trends. We continue to make strong progress on our strategic imperatives around Syracuse and Penang. And in closing, I just wanted to thank our employees, our customers, and investors for your and their continued support as we continue to move in a positive strategic direction for TTM. Thank you very much.
Operator: This concludes today's program. Thank you all for participating. You may now disconnect.